Operator: Good day, and welcome to the Precision Optics report's Second Quarter Fiscal Year 2025 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Robert Blum with Lytham Partners. Please go ahead.
Robert Blum: All right, thank you, Betsy, and to everyone joining the call today. As the operator mentioned, on today's call, we will discuss Precision Optics' second quarter fiscal year 2025 financial results, and this is for the period ended December 31, 2024. With us on the call representing the company today are Dr. Joe Forkey, Precision Optics' Chief Executive Officer, and Wayne Coll, the company's Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. [Management Instructions]. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of Precision Optics during the course of this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended, and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results, or strategies, and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually, or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events, or results to differ materially from those projected in the forward-looking statements, including the risk that actual results may differ materially from those projected in the forward-looking statements as a result of various factors and other risks identified in the company's filings with the Securities Exchange Commission. All forward-looking statements contained during this conference call speak only of the date in which they were made and are based on management's assumptions and estimates as of such date. The company does not undertake any obligation to publicly update any forward-looking statements, whether as the result of the receipt of new information, the occurrence of future events, or otherwise. All right, with that said, let me turn the call over to Dr. Joe Forkey, Chief Executive Officer for Precision Optics. Joe, please proceed.
Joe Forkey: Thank you, Robert, and thank you all for joining our call today. I'm pleased to be speaking with you today on the heels of a particularly strong production quarter and with an ongoing increase in demand from our two largest customers, which sets the stage for continuation of this growth in upcoming quarters and into the foreseeable future. As we discussed in our last call, the transition of the endoscopy market to CMOS-based endoscope systems, many designed now for single use, provides a major opportunity for POC given the investments we have made over many years in this technology. With the formal market launch of our Unity imaging platform just two weeks ago, we have further enhanced our position in this substantial and rapidly growing marketplace. Coupling recent production revenue increases in the largest backlog in recent history together with our strong engineering pipeline and positive response to the formal launch of Unity, we are poised for substantial and sustainable growth in both the near and long term. As we've discussed over many of our recent calls, we have a number of programs that are reaching key inflection points where either the programs are moving from product development to production or where the early production output is ramping. In particular, our single-use cystoscope program and more recent defense aerospace program have been ramping over the last couple quarters. The increase in production from Q1 to Q2, driven largely by these two programs, was 42%. While this was not quite as high as we anticipated during our November call, it still represents the largest quarter-over-quarter production increase in many years and the highest production revenue since fiscal 2023. Given our strong backlogs for production programs, along with engineering revenue expected to return to more normalized levels in the second half of the year, we expect continued growth for the remainder of fiscal 2025 and beyond. We are currently forecasting increasing revenue over the next two quarters with Q4 at approximately $6 million, which would be a quarterly record for POC and would result in positive quarterly adjusted EBITDA. As we discussed in our last call, nearly all new endoscopes today are designed using CMOS sensors and often can be made at price points that support a single-use model. These disposable single CMOS-based endoscopes provide significant benefits over traditional endoscope designs. Surgeons always get brand new scope image quality, hospitals don't need to track scopes through reprocessing procedures, and perhaps most importantly, the single-use scopes eliminate any chance of cross-contamination from one patient to another. Beyond these benefits, CMOS-based scopes often have higher image quality than those based on older imaging technologies. Now that CMOS sensors have been available for medical devices for a number of years, and with some big-name early adopters, particularly Boston Scientific, demonstrating that single-use endoscopes are technically, clinically, and economically viable, the entire endoscope market is moving in this direction. This has resulted in a single-use endoscope market with annual growth rates estimated to be as high as 20% per year. POC is uniquely situated to benefit from this accelerating trend. Anticipating the movement of the endoscope market to the broad use of CMOS-based design, POC began aligning its technical base in this direction many years ago. Our historic focus on micro-optics design, fabrication, and assembly has resulted in proprietary techniques associated with illumination and imaging at sub-10 millimeter and often sub-2-millimeter sizes, in line with the characteristic sizes of medical endoscopes. When OmniVision, a market leader in CMOS component production, first announced nearly 10 years ago its intention to develop a family of medical-grade CMOS sensors, POC's micro-optics were a natural complement. POC partnered with OmniVision to build the first cameras based on these OmniVision sensors, gaining critical experience with this new technology, experience we continue to expand on today. We further enhanced our capabilities in this area three years ago, adding an electrical engineering team that specializes in processing of images captured by CMOS-based endoscopes. During this time, we also continue to develop our know-how with ongoing development of new design approaches and new approaches to manufacturing these devices. The result of these long-term strategic efforts is that today POC is the best positioned company from a technical standpoint to develop next-generation CMOS-based endoscopy systems. With the single-use market growing as fast as it is, our sales team and senior leadership set out more than a year ago to evaluate our position in this market and to determine the best way to creatively leverage our years, indeed decades, of experience as we present ourselves to prospective customers. The outcome of this evaluation was a recognition that POC's experience puts us in a unique position to establish baseline CMOS endoscope platform design that can be used as a starting point for each new customer's development program. While customer-specific requirements will always drive the final endoscope design, many of the core elements of the endoscope and imaging system will often be very similar. And with our extensive experience, the required customization of these baseline designs will often take the form of a modification based on modular design elements used by POC on previous programs. Our strategy of maintaining as much intellectual property related to scope design as possible, even when executing on customer programs, has resulted in a strong base of intellectual property and know-how. The question has been how to monetize this value by creating proprietary endoscopes without putting us in direct competition with our customers. We concluded the approach of offering customers standard baseline designs that are then customized, often reusing modular design elements, would achieve a similar goal to creating a proprietary product but by different means. We believe this approach, which is the basis for our new Unity platform, will revolutionize the way new endoscopic systems are developed. In some sense, POC has been on the forefront of developing next-generation technology for many years. With the advent of Unity, we are now on the forefront of developing next-generation design processes. Combining these two capabilities, best technology with best design process, further cements our competitive advantage as the next-generation endoscope partner of choice. Unity provides significant benefits to our customers. Perhaps the most appealing benefit is an accelerated time to market. Because we have a head start on the design process with our baseline designs, customers can begin system integration and user testing earlier, reducing development cycles, and speeding up the path to production. This is a benefit to both our customers and to POC as our interests are well aligned to get to the commercialization stage faster. By leveraging previously validated design elements and by minimizing the need for bespoke engineering efforts to achieve prototypes, Unity reduces the uncertainties inherent in developing and testing novel imaging devices and results in potential cost savings as the risks of redesign are significantly reduced. And finally, Unity supports the development of multiple products from a single design framework, offering scalability for growing product portfolios. We expect that these benefits will enhance POC's competitive position in this market, resulting in an increased rate of new opportunities. Ultimately, we believe this will lead to a larger product development pipeline that could grow to double the size it is today. This will require an increase in the size of our engineering team, but we are confident we can build the team as we experience this growth. Furthermore, because the time to market for each program will now be reduced, we expect an even greater acceleration in the rate at which programs are moved to production, which is an important growth driver for our overall business. We launched Unity the last week of January at Photonics West, one of the world's largest optics conferences, followed immediately during the first week of February with presentations at MD&M West, a key conference for medical device design and manufacturing. The response at both conferences was extremely positive, with multiple potential customers already contacting us with new development opportunities. The launch of Unity caps off a year-long preparation, which included a significant effort by our technical team during Q1 and Q2 to fully define and document the baseline platform design. This resulted in lower product development revenue and higher R&D costs during this time period. The second quarter also coincided with slowdowns or holds on a few of our development programs caused by customers waiting for regulatory clearance or financing events. With the major push on our technical resources to support the Unity launch now behind us, and with most of the customer-initiated delays resolved, we expect an increase in product development revenue in Q3 and especially in Q4, even before considering the impact of new projects coming from the Unity launch. Production revenue in Q2 was up substantially over Q1 and is expected to reach record levels in Q3 and Q4. This is driven in large part by our single-use cystoscope and more recent defense aerospace programs. Both of these programs now have multimillion-dollar backlogs, and both customers support the work we are doing to expand clean room space, hire new assembly technicians, and stand-up multiple shifts and/or lines to address the backlog and expected long-term ramp. As a reminder, the first of these is our first single-use program, which is a cystoscope imaging assembly that we designed and now manufacture for our customers' next-generation AI-powered surgical robotic platform for treatment of benign prostate hyperplasia. Our customer, a dominant player in this market, has a significant installed base of robotic systems deployed in hospitals internationally. The single-use imaging module we designed for them received FDA clearance in August and is now in their sales team's capable hands. We received a $9 million production order in May of last year from this customer, and we currently estimate that we will deliver approximately $2.7 million of this product during our current fiscal year. Like our customer, we are optimistic the market for treatment of benign prostate hyperplasia, which is already a large market, will expand as a direct result of their solution. The second major production program is for the aerospace assembly we've discussed previously. This program leverages POC's proprietary manufacturing technology developed for high-precision micro-optic systems to produce an extremely precise and high-value assembly. We first announced an initial production order in September 2023 and have received numerous follow-on purchase orders since then. We are doubling our production capacity to achieve an annual run rate in the $3 million to $4 million range before the end of this fiscal year. In addition to these two major programs, production continues on seven additional programs. Four of these are production programs that have been running pretty steady now for multiple years, contributing on the order of $4 million in annual revenue. In addition, our surgical robotics scope is resuming production this month. A new subassembly used for a retinal camera just started production in January, and our second single-use program, which is for an ophthalmic application, is slated to start production before the end of February. With all of this new and continuing production activity, we expect production revenue increases to drive overall revenue increases in the second half of fiscal 2025, helping us to achieve record levels in the fourth quarter. Over the last several quarters, we have seen our Ross Optical components business drop and level out at a rate of approximately $1 million per year due to short-term market forces that we've discussed previously. At the recent Photonics West conference, we continued to hear from colleagues that their experience is similar to ours. We expect to see this part of our business remain steady in Q3 and Q4 and to begin to recover near the end of fiscal 2025 and beginning of fiscal 2026. All in all, we are confident we will continue to see near-term sequential quarterly revenue increases driven strongly by production increases and leading to improvements in profitability in Q3 and Q4. At the risk of overusing the term, I do believe this is an inflection point for POC. The revenue downturn we experienced at the beginning of fiscal 2024 has persisted somewhat longer than originally expected, but this is largely because the programs we are managing now are larger, the customers better established, and shifting significant programs to production just takes time. While our Q2 revenue came in slightly lower than expected, we nonetheless foresee capacity limitations based on demand coming from existing customers as the main challenge for us to overcome in reaching significantly higher production rates. With robust plans in place to address these capacity requirements, this is an extremely positive sign that the drivers of our anticipated growth are valid, real, and significant. With that, let me turn it over to Wayne to review the financials in more details. Wayne?
Wayne Coll: Thank you, Joe. And before we get started, I just want to clarify over the last several quarters we've seen our Ross Optical components business drop and level out at a rate of $1 million per quarter.
Joe Forkey: A quarter, not per year. Thank you.
Wayne Coll: So let me explain on some of Joe's comments on the financial results, starting with revenue. For the second quarter, revenue was $4.5 million compared to $4.8 million in the second quarter of fiscal 2024. While somewhat less than our expectation of $5 million, as we discussed in our last call, the increase of 42% in manufacturing revenue over the prior quarter that Joe mentioned earlier was still an achievement, despite some of the expected throughput pushing into our third quarter. For the quarter ending December 31, 2024, gross margins were 24% compared to 30% in the quarter ending December 31, 2023. Like the last two prior sequential quarters, product development billings were impacted by the assignment of certain engineering resources towards non-billable projects, specifically finalizing the company's Unity imaging platform offering that was so well received at our two most significant trade shows just weeks ago. We have continued to scale our manufacturing team in preparation for increased production revenues well beyond the levels we recorded today. These items together with a lower sales volume impacted gross margin. We expect gross margin to recover as manufacturing continues to scale and revenues increase, particularly in the fourth quarter. We increased research and development spending in the quarter from $222,000 to $318,000 from the quarter ended December 31, 2023. R&D expenses likewise increased $284,000 to $718,000 during the six months ended December 31, 2024, compared to $434,000 during the six months ended December 31, 2023. Similar to the two prior sequential quarters, we incurred significant internal R&D expenses that we've already discussed. Selling, general and administrative expenses, or SG&A, for the quarter was $1.7 million, a decrease of over $200,000 compared to $1.9 million last year, primarily due to lower bad debt expense and lower stock-based compensation. SG&A expenses were essentially flat in the six months ending December 31, 2024, compared to the same period in the prior year. And while these costs may be similar and predictable, the nature of our spending is more aligned with our business strategies. As a result of the lower revenue, our net loss was $910,000 for the quarter ending December 31, 2024, compared to a $704,000 net loss last year. Adjusted EBITDA, which excludes stock-based compensation, interest expense, depreciation, and amortization, was negative $555,000 in the second quarter of 2025, compared to a negative adjusted EBITDA of $269,000 last year. As we look to achieve our goals for the second half of the fiscal year, we expect adjusted EBITDA break-even quarterly revenue levels to be approximately $5.5 million. We believe we will achieve revenue levels of at least $5 million for the third quarter ending March 31, 2025, and at least $6 million in the fourth quarter, which will result in adjusted EBITDA beyond break-even. Our cash balance at December 31, 2024 was approximately $200,000, with availability on our line of credit of $350,000. As we have mentioned in prior calls, we are in the process of finalizing our facilities plans to better access the pool of talent we need to support growth while we expand our manufacturing footprint and cleanroom space. Our objective is to balance manufacturing with reasonable labor and overhead costs while broadening the access to the professional talent we need to support the growth we perceive. We remain confident about the attractiveness of this cost-effective approach to scaling more dramatically in the future. We expect to announce more about these plans in the coming weeks and months. I will now turn the call back over to Joe for some final comments.
Joe Forkey: Thank you, Wayne. Let me finish by summarizing a few key points. First, the production ramp we have been forecasting is now in process, with a 42% sequential increase in Q2. With a strong backlog and an expected return of normalized engineering operations, we believe we will see continued growth in the third and fourth quarters. Our outlook for single use is extremely high. We have developed a unique set of technologies and a unique product offering in our Unity platform to accelerate speed to market and reduce development risk. The launch of Unity is expected to be very positive for us. This momentum with single use is being matched with continued strength from our defense and aerospace programs. And finally, the production backlog we see today is as large as it has ever been. We have multiple orders that stretch out for many months and in some cases for years, with a number of customers encouraging us to ramp capacity as quickly as we can. This is a much different position than we have been in in the past, and it provides better visibility into the growth we expect in the coming quarters. With all of these positive indicators, we are very optimistic about the future prospects of the company. To all of you on the call, I thank you for your continued support of Precision Optics. We'd be happy to take any questions at this time.
Operator: We will now begin the question-and-answer session. [Operator Instructions].
Robert Blum: Betsy, while we wait to see if anyone comes in through the live teleconference line, Joe and Wayne, I've got some webcast submission questions here that maybe you can look to address. The first one here is, can you provide an update on the defense contracts, especially the ones with some of the specification problems that seem to have stalled and then started back up? Are there follow-up contracts on any of these?
Joe Forkey: Yes, sure. So, we have two significant defense aerospace programs that are running today in production. One of them has been running for many years, and those who have listened to these calls for many years will recall that we've been talking about this one really for four or five years, all the way back since before the pandemic. That program is continuing to run quite steadily at between $2 million and $2.5 million a year. We have a great relationship with that customer, who is one of the largest defense contractors in the country, and they tell us that they expect to place reorders every year as we finish each order. So, that one we expect will continue at a $2 million to $2.5 million run rate for the indefinite future and has been running quite smoothly. The second one, which I think is the one that the questioner is asking about, is our newer aerospace program. We did comment on it a little bit in the script. This is the one that had some challenges in Q1, which we talked a little bit about, but just to remind everyone, our customer, who again is a very large company, our customer asked us to stop the line because they were measuring units that we had already delivered and finding specifications that weren't satisfying the requirements. It turns out that it was a measurement error with some of the inspection equipment that really speaks to the level of precision that we're working with. It's very difficult to measure the performance of these units, so the system that they were using was a little different than the system we were using. At the end of the day, they continued to keep all of those units, and they allowed us to restart the production towards the end of Q1, beginning of Q2. That's one of the programs that I referred to in our comments that Wayne and I referred to as capacity-limited right now. So, we have received more orders from that customer. They've asked us to ship as quickly as we can. We expect to get to a $3 million to $4 million run rate by the end of this fiscal year, and we're working very aggressively to expand the space requirements that we have, the fixtures, the assembly techs, and so all of that is in process in order to increase that program and keep it running. All indications from our customer is that this is another one that should continue with reorders into the indefinite future.
Robert Blum: Okay, great. Next question, and sort of put a couple of them together here. Maybe just expand a little bit more on exactly how maybe the Unity platform works.
Joe Forkey: Yes, sure. So, as you can tell from our comments, we're pretty excited about the Unity platform. We did do a soft launch over the last 6 to 12 months, and we have a couple of customers who are coming online we expect in the near term because of that. The response at the shows was quite positive, and we have a number of leads from that. To get into more of the details, let me just say the idea here is we have these baseline designs. The designs are split up according to the size of the endoscope, and the reason for that is that there are various components in the endoscope, predominantly the CMOS sensor, but also some of the illumination systems that will be similar for similarly sized endoscopes, but different for endoscopes of different sizes. So, we have four categories. We have two of them that we formally launched. The first one is for endoscopes that are less than 2 millimeters, and the second is for endoscopes that are between 2 millimeters and 4 millimeters. And so, once we engage with our customer, we identify their requirements, and whichever of those categories that their endoscope requirements fall into based on size will determine the baseline design that we start their program with. Once we identify that, we'll engage with them. We're able to deliver to them an endoscope and an electrical system, a digital imaging system, a camera control unit box, if you like. We can deliver to them the endoscope and the camera control unit that's basically off the shelf, and this acts as the very first prototype which we can deliver to them in a matter of days to weeks, as opposed to a traditional design process that will take weeks to months. And so, that already accelerates the timeline for them to get started with things like looking at image quality, looking at how the electronics interface with their larger system. All of that accelerates the timeline quite dramatically. As soon as we do that, we work with them to define the specifications that they need for their specific endoscope, and then we start looking at how are we going to modify the design that we already have. And what we expect is that somewhere between, 75% and 90% of the design that we already have will be able to use without making any changes. That other 10% to 25% or 30% that we have to change, in many cases, will be able to plug in a design element that we've used in another program. So, as a specific example, we may go from an LED at the distal end illumination system to a fiber optic illumination system. We've built endoscopes with both of those. Our platform model will have one version, but we could swap out that illumination system by using the system we had before. All of this accelerates the timeline. We'll continue to modify the baseline design with these specific modifications, customizations our customer needs. Then when we get to the final prototype stage and we have to go to do all of the regulatory testing, because we're using many design elements that have already gone through regulatory testing, the likelihood that we've passed the regulatory testing on the first shot is quite high. We always will have to do the regulatory testing because there will be some changes, but because most of the design elements that are embedded in there have gone through regulatory testing before, the risk associated with failing the regulatory testing is much lower, and that also accelerates the timeline, reduces risk to our customers. So, at the end of the day, we expect that we'll be able to accelerate the time to market by somewhere between six to 12 months, depending on the complexity and specifics of the particular endoscope product. And that, for our customer, is worth a ton. For us, it's worth an awful lot because our business model, of course, is to get programs from the engineering pipeline into production. So, that's a little more detail on exactly how this works. People who are interested in more detail can go to our website. They can go to our LinkedIn page. There's lots of information out there. Part of what we did when we launched this at the Photonics West show a couple weeks ago is update all of our online presences in order to be able to communicate more details about this out to potential customers. So, I'd encourage everyone to go to our website and take a look.
Robert Blum: Okay, great. I think, hopefully, that answers the question. [Management Instructions]. Next question here, Joe, you talked about achieving levels of about $5 million in Q2. What happened between sort of that mid-November timeframe and the end of the quarter? I think you talked a little bit about this, but maybe if anything else you can expand upon.
Joe Forkey: Yes, sure. So, we did comment on this in the script, but let me try and summarize fairly succinctly here. There were really two parts of the business that came in a little lower than we anticipated. The first one was the product development group, and there were really two reasons for this. There was a fair amount of work that we needed to get done in order to launch the Unity platform in January, and I think we underestimated a little bit the amount of work that we would need our engineering teams to put in, in order to finalize the designs and in order to work with our sales team in order to get the language exactly right in the sales sheets and the diagrams for the sales sheets, those sorts of things. That all took a little bit longer than we had anticipated. The second thing is that there were a couple of our product development programs where customers had events that caused them to either slow down or to postpone some of the activities into later quarters. These are things like regulatory approval that didn't come through because there was another part of the system that they had to go back and update. There were one or two customers that were waiting for some financing events, and so they told us that we needed to throttle back a little bit while they got those things resolved. The good news is that none of these were cancellations of programs. They were all adjustments to the timeline. Most of those have been resolved in Q3. One or two are still stretching out to get restarted in Q4. There were a couple of those issues that we had not foreseen in the beginning to middle of November. And then, the third one is that while almost all of our product development programs are done on a time and materials basis, there are a couple of programs with very large customers that are at very specific stages in the development process, which are based on milestone payments. There was one in particular where the milestone stretched out into Q2, and so we were unable to recognize the revenue even though we had done a lot of the work. Sorry, it stretched out to Q3 from Q2, so we were not able to recognize that revenue in Q2. We will recognize it in Q3, and that was really just a timing issue. That was one part of it that the product development group came in a little bit lower than we had anticipated. Actually, I think Q2 was probably the lowest product development revenue quarter in the last year or so, so that really had an impact. The other impact, frankly, was that we were just too optimistic in how fast we could ramp some of these programs, in particular the cystoscope program and this newer Defense Aerospace program. In both of these cases, as we talked about in the script, our customers have given us orders. We have substantial backlogs. We have taken steps to be able to respond to this increase in demand, but it just took us a little longer to get the resources in place to be able to satisfy that excess backlog. And so I think we were just a little bit too optimistic in the middle of November. Again, it's not a loss of business. It's sliding out a little bit, and we're doing a whole bunch of things in order to make sure that we can respond to that additional backlog in Q3 and particularly in Q4.
Robert Blum: Okay, great. It looks like maybe we have one further question here. You've talked about sort of having the largest backlog in recent history and that revenue growth has been capacity constrained. Can you explain further how you intend to increase capacity?
Joe Forkey: Sure. So, this really just follows on to what I was just saying about the shortfall in Q2. There are some, so let me be very specific because we did talk a little bit in the script. I understand why people are quite interested in what we're doing, so let me get a little bit more specific to sort of explain the level of effort that we're making in this regard. So, for both of these programs that have substantial backlogs, there are backlogs in a number of programs, but these two that we've talked about, the cystoscope and the defense aerospace, there are a number of things that we have to do in order to be able to expand production. So, the first one is both of these are built in clean rooms, and the clean rooms that each of these are being built in are at capacity. They're fully saturated. There's no more room for more people. There's no more room for more fixtures. So, in both cases, we have more than doubled the clean room capacity. So, in one case, we've already completed the new clean room space. That space is for the cystoscope was certified in mid-January. For the second one, the defense aerospace program, we expect certification to happen tomorrow. So, these are expansions of the clean room space that we need in order to be able to increase the number of people and the number of lines. In both cases, we are increasing the number of lines from a single line to two lines, and in some cases, we may go to three lines. For the cystoscope system, that will take another few months. In the meantime, we're running a second shift, which we started a couple months ago. In the case of the defense aerospace, we already have the fixtures fabricated, so those will be able to go into this new clean room relatively quickly. We have been increasing our workforce for these two programs quite substantially over the last couple of months. This was one of the things that took a little longer than we anticipated and prevented us from doing as much work as we had hoped in Q2. Just to give people a sense, we have increased the workforce for these two programs by something like 80%, and we now have, as of next week, we will have a full complement of additional employees that are required to be able to get to double the output that we have now. So, all in all, with all of these steps, both the facilities update, the fixtures and the line update, and now the workforce update, we expect that we'll be able to double the output for the defense aerospace program by the end of March, and we expect we'll be able to double the output for the cystoscope in about three months from now, maybe four months from now, with a steady ramp using a second shift in the interim. So, in both of these cases, we've been moving very aggressively and with very specific requirements in order to be sure that we can respond to and take advantage of the very significant backlog that we have.
Robert Blum: All right. Very good. Joe, I'm showing no further questions here, so I'll turn it back over to you for any closing remarks.
Joe Forkey: Great. Thanks, Robert, and I just want to thank everyone for joining us on the call today. I look forward to speaking to everyone again very soon. Thanks very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.